Operator: Good evening, everyone, and thank you for attending today's GFL Fourth Quarter 2025 Earnings Call. My name is Jasmine, and I will be your moderator today. [Operator Instructions] At this time, I would now like to turn the call over to Patrick Dovigi, Founder and CEO of GFL. You may now proceed.
Patrick Dovigi: Thank you, and good afternoon. I would like to welcome everyone to today's call, and thank you for joining us. This afternoon, we will be reviewing our results for the fourth quarter and providing our guidance for 2026. I am joined this afternoon by Luke Pelosi, our CFO, who will take us through our forward-looking disclaimer before we get into the details.
Luke Pelosi: Thank you, Patrick. Good afternoon, everyone. Thank you for joining. We have filed our earnings press release, which includes important information. The press release is available on our website. During this call, we'll be making some forward-looking statements within the meaning of applicable Canadian and U.S. securities laws, including statements regarding events or developments that we believe or anticipate may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties, including those set out in our filings with the Canadian and U.S. securities regulators. Any forward-looking statement is not a guarantee of future performance, and actual results may differ materially from those expressed or implied in the forward-looking statements. These forward-looking statements speak only as of today's date, and we do not assume any obligation to update these statements, whether as a result of new information, future events and developments or otherwise. This call will include a discussion of certain non-IFRS measures. A reconciliation of these non-IFRS measures can be found in our filings with the Canadian and U.S. securities regulators. I'll now turn the call back over to Patrick.
Patrick Dovigi: Thank you, Luke. We started 2025 by presenting our strategy to drive best-in-class financial results and this year's results demonstrate we are doing exactly what we said we would. Our relentless focus on value creation through the optimization of our existing platform is yielding results that are consistently ahead of expectations, and our future has never been brighter. In 2025, we reached a historical milestone of 30% adjusted EBITDA margin for the first time in our company's history. This result is attributable to the tireless efforts of our 15,000 employees and ongoing contributions from implementing the operational priorities we highlighted at last year's Investor Day. Ongoing price discovery, along with the operational efficiencies within our portfolio remain a core focus to drive appropriate returns for the high-quality services we provide. In 2025, we meaningfully outperformed our initial price expectations, furthered our realization of the incremental pricing opportunities we identified at Investor Day. The pricing environment remains constructive, and we are confident in our ability to continue to price at an appropriate spread above our internal cost of inflation. Q4 volumes were ahead of plan, and we ended the year with 50 basis points of positive volume, a remarkable achievement considering the macro environment we're in. We see this differentiated outcome as yet another testament to the quality of our portfolio, underpinned by our overall market selection and the execution of our returns-focused capital deployment strategy. Consistent with the third quarter, both operational and SG&A cost intensity continued to trend lower in the quarter and for the full year. The levers we outlined at Investor Day continue to contribute to this performance including enhanced operational efficiency, improving labor turnover, fleet optimization and procurement benefits as a result of our greater scale. The combined impact of these initiatives are apparent in the 30% adjusted EBITDA margin we achieved for the year, an industry-leading 130 basis point increase over 2024. To achieve such results in the face of an ongoing macro headwind, reinforces our conviction in our stated goal of achieving low to mid-30s margins by 2028. 2025 was also a transformative year in terms of our capital allocation strategy; the benefits, which include the sale of our ES segment, simplified our business into a pure-play solid waste leader. The evaluations achieved in both the ES transaction and recapitalization of GIP demonstrated the immense equity value we have created in both of these assets. Our retained investment in these businesses allows GFL to continue to participate in meaningful value creation. The proceeds received from the divestitures recapitalization allowed us to materially delever our balance sheet and buy back over 10% of our own stock. We deployed nearly $1 billion to accretive M&A, largely in the back half of the year, providing an incremental tailwind as we head into 2026. Regarding the share buybacks, recall that we originally intended to deploy $2.25 billion of the ES proceeds into share repurchases, a level of investment that we completed early in the first half of the year. Due to the share price dislocation in the second half of the year, we saw additional share repurchases as a highly prudent use of capital to create shareholder value over the long term. As a result, we deployed an additional $750 million into incremental buybacks, inclusive of both the $1 billion of M&A spend and the incremental share repurchases, we exited 2025 with the lowest year-end net leverage in our history. With the benefits of the implementation of the capital allocation strategy in place, we entered 2026 with ultimate balance sheet flexibility. This set up, together with natural deleveraging from organic growth will allow us to execute on a robust M&A pipeline while maintaining leverage in the low to mid-3s as a range to which we remain highly committed. As for the base business guidance, Luke will walk us through the details, but as exactly as we previously indicated. Recall that in 2024 and in 2025, we laid out an extremely detailed plan, raised the guide multiple times throughout the year and beat our expectations on all financial metrics. We see multiple avenues of upside to our current 2026 guide, and that gives us confidence in our ability to meet and potentially exceed the expectations for the year. Lastly, in 2025, we also progressed on our previously stated intention to maximize index inclusion opportunities. Last month, we announced the relocation of our executive headquarters to the U.S. The relocation broadens our eligibility for participation in U.S. equity indices while preserving our eligibility for inclusion in Canadian indices. We expect this strategy will help increase GFL's visibility with investors and ultimately drive a wider shareholder base. I'll now pass the call over to Luke to walk through the quarter and guidance in more depth and then share some closing comments before we open it up for Q&A.
Luke Pelosi: Thanks, Patrick. Q4 revenues grew 7.3% on account of better-than-expected contributions from pricing, volume and M&A, which more than offset the greater-than-anticipated headwinds from FX, pricing was 6.4% for the quarter and 6.1% for the year, 70 bps better than our original plan, largely on account of EPR transitional benefits and realization of the incremental pricing opportunities we articulated at Investor Day. The sequential quarterly acceleration of price throughout 2025 sets us up with a very high visibility into 2026 pricing. Q4 volumes were 70 basis points ahead of plan largely on account of unanticipated special waste activity in several of our markets. Lapping hurricane volume, the initial ramp of EPR and the commencement of a larger municipal contract in the prior year were the primary drivers of the negative volume print for the quarter. C&D related volume continued to be soft, but we remain well positioned for a broader economic recovery in this end of our business when it happens. Adjusted EBITDA margin continues to expand, with Q4 margins reaching 30.2%, the highest Q4 margin in our history. Adjusted EBITDA margins were up 175 basis points in our Canadian segment and behind 10 basis points in the U.S. although U.S. margins were materially up when excluding the impact of prior year hurricane volumes and acquisitions and commodity prices. Commodities continued to be a drag on margins with market pricing decelerating another 10% from Q3. Excluding the impact of commodities and these other nonreflective items, Q4 underlying consolidated margins were up over 150 basis points from the prior year. The outperformance in Q4 resulted in full year adjusted EBITDA of $1.985 billion, Note that using the same FX rate on which our original guidance was given, the full year amount would have been approximately $2 billion, over $50 million better than the high end of our original guide despite the commodity and C&D volume headwinds. Adjusted free cash flow was $425 million for Q4 and $756 million for 2025, ahead of plan on account of the EBITDA outperformance as the other inputs are largely in line with expectations. Adjusted free cash flow conversion improved to 38%, inclusive of the impacts of headwinds from M&A and FX. During the fourth quarter, we completed the incremental M&A that we had previewed in setting us up for meaningful revenue rollover into 2026, consistent with the initial framework we provided. We also bought back over $200 million of our own shares during the quarter, bringing annual share repurchases total to $3 billion, inclusive of the approximately $4 billion we deployed into M&A and share repurchases, we ended the year with net leverage of 3.4x. As Patrick said, the lowest year-end net leverage in our history. Excluding the $750 million of incremental share buybacks, year-end net leverage would have been 3.1x. The strong finish to 2025, combined with our positive forward outlook, allows for 2026 guidance better than the initial framework we provided in Q3. To level set on the guide, when we previously provided our 2026 framework, we did so assuming an FX rate of 1.40, which was the FX rate at the time and coincidentally, the average rate for all of 2025. Consistent with our past practice, we are providing our actual 2026 guidance using the current FX rate of 1.36. Any changes to the FX rate will cause translational impacts to our reported results. Recall that every 1 point change in FX impacts revenue by approximately $35 million and adjusted EBITDA by approximately $11 million. 2026 revenue is expected to be approximately $7 billion or $7.14 billion on a constant currency basis, an 8% increase over 2025. Pricing is expected to be in the mid 5s, driven by our base pricing programs and incremental contributions from EPR. The pricing plan includes modest progression in our ancillary surcharge programs and implementation acceleration in this area will be a source of upside. Q4 commodity prices were down 33% year-over-year and today's prices are approximately 20% less than the average price in 2025. Based on these current price levels, commodity and fuel prices are expected to create a 50 basis point headwind to revenue growth in 2026. Any improvement to commodity prices throughout the year will be additive to our results. Volumes are expected to be positive 25 to 50 basis points. There are a couple of more sizable impacts included in this number, namely around hurricane volumes in Q1, EPR transition and tangential residential contracts. Excluding these headwinds, underlying volumes are expected to grow closer to 100 basis points. M&A is expected to add 250 basis points of revenue growth and using an FX rate of 1.36 creates a 210 basis point headwind. Adjusted EBITDA in 2026 is expected to be $2.14 billion or $2.185 billion on a constant currency basis, an increase of 10%. Adjusted EBITDA margins are expected to expand by an industry-leading 60 basis points, overcoming the headwinds from lower commodity prices and FX rates. The implied 30.6% margin for 2026 reflects an over 500 basis point expansion of margins over the 4-year period since 2022. Adjusted free cash flow increases to $835 million or $860 million on a constant currency basis, an increase of 14%. The 2026 guide includes cash taxes more than what was previously expected as the benefit of ITCs associated with RNG projects have shifted into 2027. If not for this change, adjusted free cash flow growth would have been closer to 20% on a constant currency basis. Included in the adjusted free cash flow guide is net CapEx of approximately $800 million, cash interest of $395 million and other items of $110 million. Excluded from adjusted free cash flow is approximately $175 million of incremental growth of CapEx, approximately 50% of the amount deployed in 2025, consistent with previous expectations. Adjusted free cash flow conversion as a percentage of adjusted EBITDA increased...
Operator: One moment, ladies and gentlemen. One moment, ladies and gentlemen. I'll try to get our speakers reconnected. [Technical Difficulty]
Operator: Pardon the interruption. We now have our speakers back on, and we will now begin the Q&A session. [Operator Instructions] Our first question comes from Patrick Brown with Raymond James.
Patrick Brown: Can you all hear me?
Patrick Dovigi: Yes. Can you hear us better?
Patrick Brown: Yes, you're there. Okay. Good deal. Patrick, I appreciate the guidance -- I appreciate the guidance of low 3s on the leverage. But one, does that assume -- does that assume no incremental M&A and buyback? Is that right? And then I think you mentioned last quarter that '26 could be an outsized M&A year. And I get that you're very active in the back half of '25, but is that still your base case as we sit here today?
Patrick Dovigi: Yes. I think to be crystal clear on the leverage point, we are committed to leverage, as we said, in the low to mid-3s. I think Luke made the point that absent any M&A, you end the year close to 3 turns, obviously, doing incremental M&A and buybacks would increase that number. But we are definitely committed to exiting 2026 at sort of low to mid-3s. Could there be a quarter where there's 25 to 40 basis points of leverage move around in a quarter? Sure. But we end the year exiting low 3s to mid-3s.
Patrick Brown: Okay. Perfect. Exactly what I was looking for. Okay. And then, Luke, if I just try to do the EBITDA bridge, I feel like there are a few kind of key things to think about. So one, it seems like you have something like $30 million of M&A rollover benefit. Again, this is on EBITDA. Two, on my math, at least, you maybe have $40 million of EPR in RNG. Three, you have about a $45 million drag from FX. But if I took all of those, it feels like organic EBITDA is up maybe low to mid-single digits. And I realize that commodities and a few things are in there. But is that conceptually close because it feels doable.
Luke Pelosi: Yes, Tyler, it's a great way of breaking it down, and thank you for doing my role for me. I think you're directionally right, but you seem to be taking just the good guys and not factoring in the bad guys, right? So a couple of things. Commodities going against you, right? And so that is a pure sort of EBITDA hit that you will sort of have. In that margin bridge we have, recall, Q1 '25, we enjoyed storm volumes in the Southeast associated with the hurricane, very high margin contribution that you're not getting the benefit of that. So that's sort of distorting that bridge a little bit. And then on the EPR, while $40 million, I think, was the right way of thinking about it at the beginning of '25 with the outperformance that '25 had, I think that number comes in a little inside on the '26 year-over-year comp. So if you normalize those, then I think you should get to a base business underlying organic EBITDA at the sort of mid- to high single digits. And as you said, we're feeling confident that, that's something that can be achieved.
Operator: Our next question comes from Sabahat Khan with RBC.
Sabahat Khan: Just, I guess, just following up on the commentary around EPR. Can you just maybe give us a little bit more color on the incremental growth CapEx investments that you're sort of calling out here? How does that sort of flow in through the course of the year? And just, I guess, in terms of the RNG side and the EPR side, it sounds like the contribution is still there. But just maybe how does that ramp for '26 and maybe into '27?
Luke Pelosi: Yes. Saba, great question. Luke speaking here. The $175 million is very front-end loaded. The expectation -- just so you know what's really coming on EPR this year is the collection side of the contracts and the majority of that is actually for the payment of said trucks. So I think we're expecting sort of about $100 million to $120 million of that in Q1 and then sort of trickles in through the balance of the year. As we had alluded, RNG incremental contribution this year is more muted as projects have shifted to '27. So the RNG contribution in the current plan is pretty flat in terms of dollars for '25. You have slightly higher levels of production at a slightly lower RIN price. And then the expectation is it's sort of into '27 and '28 when you get the ramp of the -- tail of the RNG projects coming online. Growth spend in '27, the equivalent of that number, I think, steps down significantly again from where we are today as EPR will largely be completed and the RNG tail is relatively small. So we'll advise on '27 as we get closer to it, but the expectation today is it's again, a meaningful step down from this year.
Sabahat Khan: Okay. Great. And then just on the volume portion, it looks like you're guiding to modestly positive volumes. Can you maybe just break that out a little bit across some of the puts and takes? Any shedding left in that? And in addition, sort of what are you seeing across some of the more cyclical end markets? Is the situation may be somewhat better than '25? If you can just kind of break out the volume piece a little bit.
Luke Pelosi: Yes. I think we're giving the guide, Saba, based on today's macro conditions, which continues to be soft on the sort of C&D or industrial end. Now I think there are some green shoots out there that may suggest there's opportunity above that. And certainly, the benefit of that opportunity would be additive to the guide. If you think about the year for '25, Q1 started a little bit sort of stronger before some of the uncertainty was -- entered the macro environment. And therefore, I think, Q1 is a tougher comp. So we're expecting a negative volume number in Q1, and then that moderates as you start lapping the sort of tougher quarters that were sort of experienced in the back half of this year. We do have the benefit of EPR coming in and contributing, and that is part of it. And then also, as Patrick alluded to, we still take a lot of pride in our market selection. And what I mean by that is a concentration of our revenues in the faster-growing South and Southeast markets where notwithstanding a perhaps more uncertain macro, you still do have volumetric growth by virtue of people moving and new business formation. So we're feeling good with the setup. I think there's multiple avenues of upside above what we have in here, but we're very pleased to be able to sort of report a year of positive volume. I think the industry as a whole is probably slightly negative and to be able to reiterate that sort of positive outlook going into '26 as well.
Sabahat Khan: And just maybe just a quick one, if I can sneak it in there. Just on the capital allocation side, obviously, a very big year on buybacks in '25. It sounds like the M&A pipeline is reasonably good. How do you guys sort of balance the 2 in terms of what seems more attractive for your analysis or just how you view it?
Patrick Dovigi: Yes. I mean, obviously, with the sell-off in the sector and sort of where we are. We continue to believe the stock is materially undervalued. That being said, we need to balance that. That could correct itself very quickly and our expectation is that it will in time. So we also have to plan for the future in some of these opportunities that are in front of us. And as we continue to work through the opportunities, we'll sort of outweigh and weigh against one another, but what we think the right thing to do is. But just know that my 30 million shares are working beside every one of yours. So I'm going to do what's right for what I believe sort of the long-term value creation for the business will be. But last year, it was clearly obvious in the back half of the year that it was prudent to spend that incremental $750 million on share buybacks just given where the stock was trading. But that being said, we have a great pipeline as well with good opportunities in markets where we're already operating, and we'll continue looking at both and weighing them as the opportunities continue to present themselves.
Operator: Our next question comes from Kevin Chiang with CIBC.
Kevin Chiang: I apologize if I missed this. Luke, you mentioned you kind of saw a sequential improvement in pricing as you kind of got through 2025 here. Just wondering how we should think about the cadence of pricing in '26 as you kind of average out to the mid-5s that's in your guidance there?
Luke Pelosi: Yes. Kevin, great question. With the sequential increase that you had coming to the back half of '25, you end up with a stronger start in absolute numbers in Q1 that then sort of tapers down. So where we're sitting is that Q1 is a sort of mid-6 or better number. And then that ratably kind of steps down to a kind of 5 type number by the end of the year. So one of the benefits that we have in a year of accelerated pricing realized the year before is the degree of visibility you have into that pricing cadence. I mean, where we sit today, we probably already have 80% of 2026's pricing effectively already in hand just by virtue of how the sort of math plays out. So feeling really good on the price number, could be a source of upside as we go, but it really will be starting high in Q1 and then tapering down by Q4.
Kevin Chiang: That's helpful. Maybe just turning to some of your, I guess, minority investments, GIP and Environmental Services. Just wondering how those performed in '25? And what was still kind of a soft, I'll call it, industrial economy, just -- did those businesses exhibit the type of resiliency you saw within your Solid Waste business? Did you kind of end out the year the way you anticipated 12 months ago? Just any color you can provide there would be helpful.
Patrick Dovigi: Yes. I think if you look at the ES business, I mean, you're forecasting sort of $525 million of EBITDA for '25 going into the year when there was a lot of optimism around a new President, et cetera. I think with the softness in the industrial economy, et cetera, that business largely just finished just north of $500-ish million. So I mean, it was modestly off from our plan, but not materially off from the plan. And we had pretty robust plans for that business from a sort of a growth perspective. And on the GIP side, again, it's an industrial business, yes, but by and large, 75% to 80% of that work is government contracts and largely based around transportation sector. So that hasn't gone away. So that business basically performed to plan. So exiting -- coming into this year, somewhere in the $300-ish million range of EBITDA like we had discussed, and that's sort of still well in hand. If you factor that in, even those 2 businesses at cost, right, there's -- from our perspective, at cost, there's $5 to $6 a share of value there. Why we think about opportunistic share buybacks because our numbers on 2026 puts GFL trading at sort of like in the 12.5x range on 2026 numbers when you factor in the equity value that sits in those 2 businesses that aren't included in our numbers. And I think that's why we continue to think share buybacks are very attractive at these levels.
Operator: Our next question comes from Bryan Burgmeier with Citi.
Bryan Burgmeier: Sorry if I missed this in the prepared remarks. Did GFL provide 1Q guidance, like I think you did on the 4Q call last year? Maybe I missed it or maybe we blame the cooperator or maybe you're shifting strategy a tiny bit.
Luke Pelosi: Yes. Bryan, it's Luke. Thanks for the question. I think we had some technical difficulties when we were giving the very end of the call and maybe that sort of cut out. But either way, I'll just reiterate what the prepared remarks was. And what I said was that looking specifically at Q1, we expect revenue of $1.6 billion to $1.625 billion at approximately 28.8% margin, which implies 150 basis points expansion over the prior year. Q1 adjusted free cash flow is expected to be negative $45 million, which is less than the prior year, but solely on account of the timing of working capital and CapEx payments.
Bryan Burgmeier: Okay. Okay. And then just one more question for me. Just maybe as RNG production, I know these projects have been pushed out, but just as we are gradually kind of ramping up production, are you finding that your costs are sort of roughly in line with what your initial expectations were from the Investor Day last year for ongoing production costs, start-up costs? Just any kind of broader comments there.
Patrick Dovigi: Yes. No material change in the actual costs. I think, obviously, we're taking a very careful look at building out the larger sites before we're building out some of the smaller ones. So I think what we've articulated in the Investor Day presentation, we said about $175 million of RNG coming on. Our perspective is just depending on where some of these regulations and volume requirements come in that we're going to sort of think about that number sort of being potentially sort of in the $125 million to $150 million range. That being said, EPR is outperforming. So those 2 numbers as a whole are going to be on plan to our Investor Day presentation.
Luke Pelosi: And Bryan, just to add to what Patrick said, I think the operating costs once the plants are up and running are proving to be very much in line with the pro formas, which included an appropriate degree of conservatism to account for that. What we have noticed though is some of the start-up has slipped a little bit to the right. So your ramp to achieve that sort of full run rate profitability has arguably been a quarter or so longer than anticipated. But all the projects that we have up and running are performing, in fact, at or above what those sort of underwritten sort of cost profiles were. So I think it's more of the sort of timing issue of shifting to the right. And then Patrick said, just ensuring that the overall envelope that we originally identified remains the appropriate level. But net-net, we had presented EPR and RNG as a combined step in that bridge, and we think that combined step remains intact, just may be a reallocation between the 2 components therein.
Operator: Our next question comes from Trevor Romeo with William Blair.
Trevor Romeo: First one I had was kind of a follow-up on EPR. I guess in terms of some of the provinces that maybe aren't as far along on EPR, how much at this point is still in that kind of future opportunity bucket? I guess, are you still seeing incremental contract awards as a potential upside driver for this year and beyond? And maybe you could talk about competition for any new contracts that are still out there if it's gotten tougher to win any of those deals?
Patrick Dovigi: Yes. I would say we're largely through. I think there are some collection contracts still to be let over the next couple of years, but that's -- we would put that in the normal course bucket with normal resi wins. But anything material is we are largely through that now. Alberta was the last province to basically get finalized, and we ended up splitting the processing for the province of Alberta with Waste Management. So Waste Management ourselves have sort of half of the province each. And that was the large -- that was really the last one that will be let in Canada. So from an opportunity perspective, I think by the end of 2027, you'll have all EPR dollars flowing through the P&L.
Trevor Romeo: Okay. Thanks, Patrick. That's helpful. And then maybe just on your M&A pipeline and kind of, I guess, the pipeline plus what you bought maybe within the last quarter or so, if you could just provide maybe some color on regional or asset perspective, kind of where you saw attractive opportunities, what do you see in the near term in terms of your pipeline there?
Patrick Dovigi: Yes. I mean I think we said at the end of Q4, people were questioning whether or not we would actually deploy -- if we'd actually deploy the amount of capital that we had in our sort of initial guidance that we'd have been articulating through the year, just given the slow start to the year and the fact that we are focused on the divestiture and recapitalization of ES and GIP. We basically deployed close to $1 billion that we said we would. I think when you look at 2026, as we said on Q4, pipeline is very healthy, a lot of good opportunities, obviously, still in diligence on a bunch. But again, focused on businesses in markets where we already have existing infrastructure, creating very good synergy opportunities, which will sort of yield higher returns on invested capital versus moving outside and acquiring businesses outside of the existing platform. We're obviously extremely happy with the post-collection network we have throughout the 10 provinces in Canada and 25 states in the U.S. So we're going to continue just driving incremental opportunities on the backs of those facilities. And that's what we're going to be focused on for '26. But again, it's going to be -- as we communicated in the $750 million to $1 billion. As we said in Q4, we think this year could be even higher than that. And assuming we continue to make our progress through diligence on some of these assets, I think we'll have a pretty good update for everybody when we report Q1.
Operator: Our next question comes from Konark Gupta with Scotiabank.
Konark Gupta: Just on the M&A follow-up. In terms of the asset quality that you're finding these days in the marketplace, I mean, a big chunk of the market has already been consolidated, right? And I mean, obviously, there's still a ton of opportunities for you guys, especially given you're smaller than the rest of the 3. But any noticeable differences you're seeing in terms of quality of assets that are coming open to you?
Patrick Dovigi: No. I mean I think it's obviously year-by-year, you can never predict when a specific asset is going to come to market. But what we know for certain is that the sellers of these businesses aren't getting any younger. And as people start thinking about succession and liquidity, that's creating opportunity. And I mean, if you think about the Canadian market, again, basically Waste Management, Waste Connections and ourselves represent, call it, 40-ish percent of the market. So 60% of the market continues to be white space and not consolidated. And you think about the U.S., about 50% of the market is consolidated by the majors, and that still creates a very good opportunity for all of us to continue acquiring businesses in the markets where we see opportunities for each of our respective businesses. But the quality of the assets continues to be very high. The quality of the assets that we're looking at within the existing pipeline are very good. And again, we think there'll be great contributors to sort of overall book and will yield very good return on invested capital on the backs of our existing infrastructure. So we're feeling very good about where we sit today, and we're feeling very good about 2026 and beyond in that respect.
Luke Pelosi: And Konark, just to add to Patrick's commentary, you have to remember, I mean, the focus of us on tuck-in acquisitions into our existing platform, we can have a scenario whereby we have a great market and a great asset base. And there's a competitor that doesn't necessarily have a gold star asset. But in our hands, with cost takeout opportunities and other synergy, you can turn that into a very high-quality asset. So what's nice about where we're at in our journey is the ability to densify and tuck in some of our best-in-class markets and thereby take what is perhaps a suboptimal little sort of tuck-in on its own, but turn that into something accretive in our hands. And that's really what we're focusing on what can this business or asset contribute in our hands.
Konark Gupta: And if I can follow up, I think there's some news around the Toronto recycling contract changes that have happened. I think there's a change of supplier or your third-party partner there. Any sense in terms of what potential changes might be required on your side to deliver on the contract into...
Patrick Dovigi: Sorry, in terms of -- yes, in terms of EPR, I mean we obviously are doing the exact same work we did before, albeit with different service providers, meaning our customer used to be the city of Toronto and now our customer is circular materials. That being said, there's been no real change. Yes, there's a little bit of political fallout in the city of Toronto. The fact that we ended up doing -- taking on 2 more districts than we had before, and there was a loss of some union jobs, I think that led to some media attention by a couple of, I would say, the more left leaning papers. That being said, we started collection in Ontario for over 1 million homes and collection success was better than 99.3% in the first month of a very large startup. So overall, very successful. Province continues to be very happy. Ultimately, there was a change in collection days in some of the city of Toronto, which certain residents didn't like or enjoy, but I think we're largely through that and now into our second month, and I think the noise is largely subsided.
Operator: Our next question comes from William Grippin with Barclays.
William Grippin: Great. Most of my questions have already been answered, but just wanted to come back to the update you gave around the GIP and ES. I appreciate the color there on the performance. I guess just do you have any updated thoughts on maybe providing some incremental disclosure around those businesses going forward in the quarterly releases just to kind of help investors and analysts kind of track the performance of those businesses.
Luke Pelosi: Yes, Will, it's Luke. It's a great question and something I know we've talked about in person. In light of the fact that both of those recapitalization or carve-out just happened, we all have this very fresh mark. So the cost basis, as Patrick referenced, roughly close to $3 billion across the 2 assets today is pretty sort of fresh. So we didn't include something at this. But absolutely, as we go forward, we're going to come up with an appropriate level of disclosure such that you guys can have a handle on how those businesses are doing, what the sort of debt level of them are and what our sort of equity interest is. So you'll have an ability to calculate that $6 per share math that Patrick was doing. So we will do that. But as of today, we're just thinking, hey, you had $1.7 billion cost base in ES, roughly $1 billion in the GIP asset. And then I think we valued the option on ES at a couple of hundred million bucks. So just under $3 billion of value at cost across those 2 businesses today.
Operator: Our next question comes from Jerry Revich with Wells Fargo.
Jerry Revich: I wanted to -- as we think about the -- Patrick, I wanted to ask, as we think about the free call profile of the business. So now that you've got a cleaner portfolio. How should we be thinking about CapEx to sales beyond '26. So the core business looks like it's about 11.5% CapEx to sales you have the high returns. Growth CapEx on top of it as a starting point for '27 and beyond, how would you counsel us to think about both growth CapEx opportunities as well as just normalized CapEx to sales versus [ local ] guide for '27?
Luke Pelosi: Yes. Thanks, Jerry. It's a great question, and I know one that the industry is a wide way of focuses on. I think today, normal course CapEx, if I was underwriting a model, it's an 11% to 11.5% number. I think probably 11.5% today as we sort of just get through some tariffs, et cetera, and maybe that gravitates back down to that normal sort of 11% spend. I would characterize that as the normal course, which is inclusive of maintenance and normal course growth. Obviously, in years where we're going to be delivering outsized growth, whether it's EPR or similar type of investments, there could be opportunity for spend above and beyond that, and we'll call that out as we have. Where we sit today, as I articulated to the other question, I think next year's growth spend is currently contemplated to step meaningfully down from this year's as really EPR is behind us and you just have the sort of tail end of building out the sort of RNG facilities. So the truth is, as we've said since our 2023 capital allocation framework, we've looked at the growth CapEx similar to M&A. And if we could find more opportunities like RNG and EPR, we would be very inclined to invest in based on the sort of returns profile. Where we sit today, we don't see anything else on block that is going to warrant that same carve-out as we've done for EPR and RNG. So we expect these to play off and then roll off, and we'll just be back to a singular CapEx number. But certainly should, by regulation or otherwise, we see opportunities as attractive as these we're going to go after those and we'll talk about the appropriate stratification or bifurcation of our CapEx at that time.
Jerry Revich: Super. And separately, Patrick, can I ask you, given the strong M&A activity over the course of '25? Normally, we see you folks deliver really good synergies in year 2 of integration. Can you just talk about for some of the larger deals and how those assets are performing and whether we could see a notable tailwind '26 versus '25 as you integrate those assets?
Patrick Dovigi: Yes. I mean there was nothing overly large that sort of happened in '25. That being said, when we look -- when we embarked on the M&A pipeline for '25 we did, just given that we were taking a year and shoving it into basically 6 months, we really focused on the ones that were most accretive that were going to give us the biggest bang for our buck quickest. And I think that's what gives us a lot of conviction around some of the comments we made in our prepared remarks around. I think if you look at the previous 20 quarters of the business, I think the previous 20 quarters, we really sort of met or exceeded expectations. And I think there's multiple levers and multiple avenues for us to continue to exceed expectations in 2026. And a big part of that is realizing synergies on some of these opportunities that we closed in late Q3 and early Q4. So you're right. We will continue to deliver on those. And I think those will contribute to exceeding the expectation for 2026, coupled together with what we think is a very compelling pipeline for '26. And we looked at some great updates for you as we report Q1 and give some good updates for the balance of the year as we get through the beginning of the year.
Jerry Revich: And, Patrick, if I may, just to put a finer point on that. So typically, in year 1 you worked down by about a turn in terms of synergy relative to the acquisition multiples, what we typically see. So just applying that given the outsized M&A in '25, it does feel like that's a big chunk of the core EBITDA growth that you have baked into the numbers unless I'm missing something about the nature of the deals, which is normal?
Luke Pelosi: Jerry, it's Luke speaking. I think you're absolutely right. We've demonstrated the outsized margin expansion that we've delivered and enjoyed over the past 3 or 4 years, a large part of that is being driven by that synergy capture as you've articulated. So if you think about the 2026 guide, Tyler on the first question was trying to parse it out. But even when you peel it all back you're seeing margin expansion above and beyond what normal course price/cost spread should provide. And the component of that is exactly, as you said, that you're realizing the synergy benefit of all that M&A we did in '25 and also still the tail end of what you did in 2024. So you're absolutely right. Typically, if you're going to pay, I think, Investor Day, we said we pay sort of 8x on the face of it and then over time, can take that cost of ownership multiple down through synergy capture. That is happening. You saw that in '25. You saw that in '24. And certainly, for us to be able to have a 26% guide that shows 60 basis points of margin expansion, including, don't forget, like a 25 basis point plus headwind from commodities a few other puts and takes. You're actually at an underlying of closer to 100 basis points of margin expansion in '26, certainly contributing in there is the synergy capture from the acquisitions that you completed in '25 and previously.
Operator: Our next question comes from Tobey Sommer with Truist.
Tobey Sommer: I was hoping you could elaborate a little bit more on some of the green shoots that you said you might be seeing with respect to volume in '26 in both the core and perhaps even ES?
Luke Pelosi: Yes. So Tobey, it's Luke speaking. I was speaking in relation to GFL, I want to -- sort of spoke to that. I think on the macro side, so might be even the indices, whether it's PMI or PPI are actually sort of starting to turn if it's positive or showing some sort of green shoots coming out of that. But it's also just in the sentiment in talking to some of our larger customers as to what their capital plans are for 2026. Very clearly in '25 people shelved a lot of capital plans, whether it was expansionary or the like as they were waiting out to see how the world was going to unfold. I think just having conversations with some of our large customers today, it seems clear that people are figuring out a way to navigate in this period of uncertainty and are going to invest in some of that sort of capital spend that can end up being volume on our side. We also saw on the special waste side, we alluded in the prepared remarks, Q4 some surprise special waste coming out of activity in some of our markets that wasn't otherwise contemplated. As you know, that's obviously a leading indicator for activity that then follows on the back of that. So while we would certainly like to see more green shoots before we get sort of too ahead of our skis, it's certainly positive to just see those indicative indicators suggesting that maybe there's some opportunity on the horizon.
Tobey Sommer: That's helpful. With respect to the -- moving the headquarters to the U.S. and inclusion in various indexes, could you maybe give us a little bit of color on time line? Any hurdles or decisions that you have to weigh in order to pursue various inclusions?
Luke Pelosi: Yes. So right out of the gate, by virtue of the changes that have already occurred, we become eligible for the Russell set of sort of indices. And the time line is to that how that typically works is mid-spring, I think, in April, they'll make an evaluation, and we believe that we'll check the boxes to be eligible for inclusion. And the actual inclusionary date would happen middle of the year. I think it's in June. And if you look just on the face of it, I mean, the Russell Index inclusion alone could yield somewhere in the mid-single digits of our float, right? So an incremental permanent demand that could come on. By virtue of the step that we've taken, the next step would become the eligibility for other U.S.-based indices, the [ CRSP ] being one that is available to us, and we think we're eligible. And then obviously, the S&P sort of 400/500. Further steps would be required, most notably U.S. GAAP and no longer being a foreign private issuer. Steps are underway for us to be eligible, both from a U.S. GAAP conversion as well as to the filing on the domestic forms. And in doing so, you could then open up that incremental index demand. And if you look at what the index specialists say, there's upwards of another sort of 10% to 15% of volume of our sort of float that could be in demand from that. If you just look overall as to how much passive demand is in the GFL stock versus our peers, there's a meaningful gap. And I think this headquarters announcement is a first step in starting to close this. So there's a significant degree of incremental demand that we think over the short and medium term should come into the name, and we're going to continue to actively pursue that. As Patrick alluded to in his opening remarks, one of the benefits of the current strategy, thanks to some of the sort of recent changes to the S&P definitions, is none of these changes preclude our eventual inclusion or eligibility therefore into the TSX 60, which, as many know, would drive even more incremental asset demand. So we think we have a very nice near and medium and longer-term tailwind that should drive a significant incremental permanent demand for a large component of our float.
Operator: Our next question comes from James Schumm with TD Cowen.
James Schumm: So Luke, just a clarification on the pricing. I think -- so pricing was 6.4% in the fourth quarter. I think you said Q1, your mid-4s or 6s. And I think you said you're largely 80% contracted through the year as of Q1 or something like that. So help me understand, I mean I know that pricing will bleed lower, just the math of it. throughout the year. But like how do you get to mid-5s from 6.4% or solidly in the 6%?
Luke Pelosi: Yes. Jim, thanks for the question. It's a good one. I know sometimes the pricing map can get a little confusing, but it's really a function of the quarter over the prior year quarter. And during a period of ramping pricing during the year, effectively, the pricing actions I did in H2 '25, I now have certainty of those rolling over into H1 of '26. And therefore, just gives me a high degree of certainty of the actual dollars of price that will be realized into these quarters. So if you think about a Q1 number being in the sort of mid-6s and if that then steps down and forgive me, I don't have the rest of the quarter cadence in front of me, but think of that then stepping down to the high 5s that then steps down to the low 5s that then steps down to 5, that's how you're going to blend to a number in the sort of mid-5s. So that's the sort of rough cadence of it. That is absent any incremental pricing actions. That's what to get taken through the year. And as I said, we think, we hope that we're able to actually do sort of slightly better than right? The pricing you ultimately realize is a function of stick rate, and so you do pricing actions sometimes have roll backs that you need to do to establish the soda firm level pricing. And obviously, the full extent of those aren't known to us today. We're taking estimate based on our past experience. but that is the basis on which the math would yield that sort of mid-5 number.
James Schumm: Okay. Great. And then my last one, you basically just touched on it, but in the prior question. But given that FX is moving your financials and your guidance around quite a bit, like I was going to ask, do you have plans to report in U.S. dollars. It sounds like you said maybe you've got something in the works, but what would be the timing on that?
Luke Pelosi: Yes, it's a great question and something that we think a lot about because today, FX moves against us is a benefit for our peers. So we're sort of moving in opposite directions, and I think it just adds incremental complexity to the comparability. So I think the eventual outcome is that we convert to being a U.S. GAAP reporter again, eliminating diversion and reporting between us and our peers. And you could evaluate being a U.S. dollar-denominated sort of reporter as well. I mean, more and more, our business has grown in the U.S. However, we still have a very sizable business in Canada and the sort of back-end infrastructure and shared services is all based there. So we'll continue to evaluate I think, though, if you were to make a change to be a U.S. GAAP filer, it may make sense at that time that you also went to a U.S. dollar currency, just to fully align comparability amongst the sort of peer group. The timing for that, Jim, I'd tell you is as of speaking about the Russell, we think there's a path where being a sort of Russell inclusion midway through this year. The next big inclusions would require a U.S. GAAP conversion. And I think we intend to be ready to do that as early as Jan 1, 2027. Now whether or not we actually sort of go forward at that date or you wait to the end of the year is still sort of TBD, but it's not going to happen in '26, but we're certainly taking the steps in preparation now to be ready to do that sometime in the future. I could see a potential outcome be do it at the end of 2027 in advance of 2028. But certainly, we're exploring all options.
Operator: Our next question comes from Stephanie Moore with Jefferies.
Stephanie Benjamin Moore: Great. Luke, I just wanted to follow up on a question, maybe 2 or 3 questions ago, we were talking about the outsized margin expansion this year outside of price cost spread. I think Luke you did a really good job at the Analyst Day of outlining kind of all the self-help initiatives, ancillary pricing, automation and the like. That you expected over the next couple of years. Can you maybe give us an update on how those are trending? What we should be thinking about in 2026 that's really moving the needle? And I guess as a follow-up to that, if we do expect to see a more outsized M&A even this year or next year, do some of these investments help make those integrations and synergy captures that much more effective?
Luke Pelosi: Yes. Thanks, Stephanie. It's a great question. Something that as we look back on the Investor Day presentation and our outperformance in 2025, gives us even further conviction in our ability to realize those financial benefits from the self-help levers that we had articulated based on how successful we were in '25. Look, if you think about the leverage starting with the pricing, I mean, obviously, we started '25 in an expectation of low to mid-5s pricing, ended the year at 6.1, nearly 70 bps of outperformance. A big part of that was the realization of those sort of ancillary surcharge program as we had sort of anticipated. I think we articulated a $40 million to $80 million prize there, taking that at this sort of midpoint roughly the $60 million amount that I mean, I think we're set up and on pace to recognize that ratably over the 4-year period, arguably a little front-end loaded as we've demonstrated in '25. As I said in the prepared remarks, pricing for 2026, estimated in the sort of mid-5s range. And any further accelerated implementation of the ancillary search charges could give upside to that number. So we're feeling really good on that aspect or that's what a self-help lever. When you start getting into the middle and the next one was employee turnover. We said, as we reduce this employee turnover, we're going to realize the benefit of the efficiency, the cost of risk the onboarding and the productivity associated with that. And I think you're seeing that as well. I mean across the cost category lines this year from direct labor costs, R&M expense, to SG&A. You're seeing the operating leverage come and part of that is that improved labor turnover. We got to high teens in '25. We see more room for improvement in '26 and '27. And certainly, those benefits are accruing to the bottom line. The next -- the fleet conversion and CNG piece, I believe, was the next lever. I mean I think when we started this, we had a sort of mid- to high teens percentage of our fleet being CNG. And we brought that up to mid-20s. And we're now on a path to sort of be close to 30% and certainly seeing the benefits of that coming through in the results as well. So we feel really good with the ratable realization of that benefit or that prize that was articulated on that side. And the last one was just the sort of general procurement and overall sort of efficiency in the middle. And I think you're seeing that as well. So you peel it all back, what gives us a great sense of optimism is we're not relying on any one of those levers to drive outsized performance. It's, in fact, the combination of each of them in small, little ways, but all adding up to this differentiated margin expansion that you're seeing in our business versus ours. So '26, we're excited to continue to deliver. As we said, we see avenues of upside on the guide and certainly continued outperformance in those levers will be sort of part of that. '25 was a great starting year, and we hope to be able to continue the trend.
Operator: Our next question comes from Adam Bubes with Goldman Sachs.
Adam Bubes: Patrick, you talked about potential for an outsized year of M&A. Just how far above the $1 billion annual target would you be comfortable going? I mean just back of the envelope math, I think, every $500 million of incremental M&A only adds 0.1 or 0.2 to leverage.
Patrick Dovigi: Yes. I think -- we think where we sit today, you could even spend $1.5 billion to $2 billion. I think temporarily, leverage might be sort of in the $3.75 billion to $3.8 billion range intra-quarter, but then you still exit the year in the mid-3s. So I think that's where I think you sort of peak out before you would need some form of equity. And I think going back to -- I think we've telegraphed in Q4 and sort of late Q3 was that we think that this year could be. That being said, we're still in diligence on a lot of these opportunities and nothing is for certain. But yes, your math is right, obviously, depending on what the purchase price is for you're buying that sort of -- but in that range, you're correct. And I think that you would still end up in the low to mid-3s, even deploying that amount of capital.
Adam Bubes: And then, Luke, I think you said for 2026 margin guidance, there's 100 basis points of underlying margin expansion, 25 basis point headwind for commodities. What are some of the other puts and takes that get you to 60 basis points? And then can you just help us think through the cadence of going from 150 basis points year-over-year and I think, guidance obviously embeds decelerating margin expansion throughout the year?
Luke Pelosi: Yes, Adam, great question. If you think about 60 basis points margin expansion on the headline number included therein, you got a 25 basis point headwind from commodities, a 5 basis point headwind from the Q1 year-over-year comp on that hurricane volume that I alluded to. Again, we always hope there is no natural disasters. But in 2025, we enjoyed excess volume at a high margin. So back in that under bps. I think have a 10 basis point headwind from FX and some of the carbon credits that you realized in '25. So when you think about the 60 basis point headline number, backing out those amounts, yields about 100 basis points sort of underlying piece overall. When you think about the cadence, Q1, as I said, the 150 basis point beat based on the guide year-over-year. Q2 of last year, you enjoyed an exceptional sort of margin performance. And so actually contemplating, I think, flat to a little backwards in Q2. And then Q3 and Q4, modestly ahead. I think what you're seeing is as the business matures and our geography spans in the South, you're seeing a bit of a flattening of that sort of seasonality, so as opposed to the peaks and valleys from Q1 to Q3 that we historically had. You're seeing a bit of a sort of flattening of that year-over-year. And we expect sort of more of the same. But that's the basis for the expectation of the cadence throughout the year. You also have Adam recall, the commodity comp will bigger drag in the first half of the year and then that steps down as you go throughout the year. So the underlying will have less adjustments to achieve by the time you get to Q4, if commodity prices stay where they are today.
Operator: Our last question comes from Aadit Shrestha with Stifel.
Aadit Shrestha: Just a quick one. In terms of the reported volume of 50 bps for 2025, how much of that was from EPR and RNG ramping up?
Luke Pelosi: RNG had a de minimis component to the overall thing because RNG is much less a revenue story for us. There's a little bit in there from R&D ramping up, but that's not a sort of significant component of that. I think when you look at EPR and you look at our Canada-wide sort of volume, I think the numbers we would have reported was EPR was about $10 million in Q1, roughly $20 million of each of Q2 and Q3. And then as you had lapped the Q4, it was de minimis. I think it was like sort of $5 million or $7 million in Q4. So you certainly got some outsized contribution from that. Where we take comfort is even when you strip that out, when you think about some of that hurricane volume they're comping year-over-year, you're still, I think, at an industry-leading sort of volume print, again, just going back to some of our market selection where we enjoy volumetric growth is based on the macro that's happening in Central Florida, Georgia and some of our Texas markets to help sort of offset some of the C&D related exposure.
Aadit Shrestha: And just in terms of your guide for volume for next year, what are you sort of kind of building into your guidance in terms of recovery seen because you mentioned some green shoots that you're seeing. So are you trying to -- are you thinking of building in some since volumes in there or anything like that? Or is it really what you're seeing right now?
Luke Pelosi: No. Our guide is based on the environment that we see today. So we just assume sort of status quo. The green shoot sort of commentary was more, as I was alluding to some of these conversations and touch points we've had with our customers. Look, January is going to be a tough volume month right at the gate just because when you think about the amount of snow that's come and blanketed Wisconsin, Michigan, Toronto, these are markets that are used to snow, but this has been an exceptional level of snow. So I think you've got a pretty tough start to the year in January. But again, it's just sort of structurally of some of the contracts we've won, EPR coming online and the like that gives us sort of confidence or to print a slightly positive number. Certainly, any recovery as we think about our C&D volumes or just broader macroeconomic activity could provide a tailwind above and beyond, but that would all be additive. We're just assuming status quo with the current sort of macro environment.
Operator: At this time, I would now like to pass the conference back over to Patrick Dovigi for any closing remarks.
Patrick Dovigi: Thank you, everyone, for joining. Much appreciated. We look forward to catching up when we report Q1. Thank you.
Operator: That concludes today's conference call. Thank you for your participation. You may now disconnect your lines.